Operator: Greetings, everyone, and welcome to Lumen Technologies Fourth Quarter and Full Year 2025 Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question and answer session. At that time, if you have a question, please press the star followed by one on your telephone. If at any time during the conference you need to reach an operator, please press star 0. As a reminder, this conference is being recorded Tuesday, February 3, 2026. Your speakers for today are Kate Johnson, CEO, and Chris Stansbury, CFO. I would now like to turn the conference over to Jim Breen, Senior Vice President, Investor Relations. Please go ahead.
Jim Breen: Good afternoon, everyone, and thank you for joining Lumen Technologies on today's call. On the call today are Kate Johnson, President and Chief Executive Officer, and Chris Stansbury, Executive Vice President and Chief Financial Officer. Before we begin, this conference may include forward-looking statements subject to certain risks and uncertainties. All forward-looking statements should be considered in conjunction with the cautionary statements and the risk factors in our SEC filings. We will be referring to certain non-GAAP financial measures reconciled to the most comparable GAAP measures, which can be found on our earnings press release. In addition, certain metrics discussed today exclude costs for special items, as detailed in our earnings materials, can be found on our Investor Relations section of the Lumen website. With that, I'll turn it over to Kate. Thanks, Jim, and thanks, everybody, for joining the call.
Kate Johnson: We had a great 2025, laying a solid foundation to execute our strategy, become the trusted network for AI. And, of course, the big news is that yesterday, we closed the transaction with AT&T. This marks a defining moment for Lumen. Completing our pivot to become a simpler, stronger, enterprise-focused technology infrastructure company. The impact of the deal on our capital structure and financials is very significant. With the $4.8 billion in net proceeds and cash on hand, we've paid off all our super priority bonds in the last twenty-four hours. Recall that in the last month, we also paid off our second lien debt. Our total debt now stands at less than $13 billion and our net leverage has been reduced by a full turn now below four times. All of this capital markets activity has reduced our interest expense by roughly $500 million or nearly 45% down from 2025 levels. And lastly, this divestiture reduces our annual CapEx by over $1 billion driving a significant reduction in capital intensity as we stop fiber to the home builds and focus our capital on building a digital network services company. Closing this transaction marks a new day for Lumen. We're focused on serving public and private enterprises as the trusted network for AI. And our 2025 results clearly demonstrate the power of this focus. We reported strong 2025 financial results for revenue, EBITDA, and free cash flow. Our business revenue mix continues to improve with fourth quarter North American enterprise revenue totaling 52%. Eclipsing nurture and harvest revenues. We continue to expect this trend to inflect our business revenue back to growth in 2028. EBITDA was at the high end of our guidance range, which included the RDOF giveback in 2Q, and free cash flow was solid even without the $400 million tax refund that is now expected to come in 2026. We exceeded our increased target for cost reduction, ending the year at over $400 million in run rate savings. Exiting 2026, we're targeting another $300 million of cost out, totaling $700 million run rate savings which positions us to hit our three-year $1 billion cost out target as well as our expected EBITDA growth this year. As previously guided. Also noteworthy, we had a banner performance in PCF sales in the fourth quarter. You may recall that just over eighteen months ago, we announced our first $5.5 billion in PCF deals with a goal of reaching $12 billion over time. As of today, we are now at nearly $13 billion with more deals in the pipeline. And we had another strong quarter of growth in our NAS business, Rising ports per customer show that enterprises are starting to standardize on aluminum fabric as their programmable network control plane for cloud 2.0. Each additional port expands our platform economics by unlocking higher margin digital services revenue, accelerating cloud and AI on-ramp adoption, and deepening ecosystem network effects, for Lumen and partner-delivered services. Lastly, we added two amazing new executives to our team. Jim Fowler, our new Chief Technology and Product Officer who is uniquely suited to help us execute our vision, and Jeff Sherez, our new chief revenue officer, who is uniquely suited to help us drive commercial scale. We're proud of the team we've built and all of their accomplishments throughout 2025. And we're pleased to see both the credit and equity markets rewarding the Lumen team for all of that work. Looking ahead to '26 and beyond, I'd like to reiterate our belief that there's an urgent need for structural change in network architectures and business models to more closely align with customer needs in a multi-cloud AI-first world. This is the investment thesis behind our three-pillar strategy, as we build the backbone for AI, Cloudify and identify telecom, and expand our connected ecosystem. I'll briefly touch on each strategic imperative starting with the backbone work. We successfully reached our 2025 goal of implementing 17 million intercity fiber miles, The roughly $2.5 billion of new PCF deals that we inked in Q4 will raise our total network expansion to a whopping 58 million fiber miles in 2031. While simultaneously expanding our capacity for enterprise customers. But as we've shared, our physical expansion is about more than just the number of fiber miles. It's also about giving customers bandwidth expansion, lightning-fast implementation timelines, rich data center interconnect, and investment in geographies where they need it most. And as we all know, every five miles isn't created equal. That's why we're investing significantly in three major network upgrades. Building 400 gig rapid route waves across 36 routes, with more on the way, enabling 400 gig services for data centers across key markets, and focusing on metro expansion so that we connect the most needed routes data centers, and cities across America. To support this work, we've expanded our partnership with Corning, ensuring we have priority access to the newest state-of-the-art fiber technology delivering the AI backbone for today's and tomorrow's most important customers. In a world of cloud 2.0, the largest tech companies are choosing Lumen to help construct the supply side of the AI economy. And that's because of our physical network prowess. Our network size, scale, and quality position us to provide superior performance on three key metrics emerging in the AI race. Fastest time to first token, GPU idle time, and interconnect latency. What's more, as data centers begin to decentralize to accommodate energy supply constraints, our vast network provides valuable proximity Together, our capital investments and PCF deals create a strategic competitive advantage. And we're expanding and upgrading our network alongside the most influential companies in the AI race. Making it easier for enterprises to consume AI. And speaking of the consumption side of the economy, this is where businesses are recognizing that yesterday's network doesn't support AI and cloud 2.0. They need quick, secure, effortless, on-demand services to move their data from anywhere to anywhere in real-time. That's why Lumen is cloudifying and agentifying the network. Think of it as building a programmable network platform that finally puts networking on par with compute and storage in the world of cloud. And our customers love it, as shown by another great quarter of adoption metrics. The number of active customers grew by 29% quarter over quarter. The number of 31% and the number of services sold grew 26% in that same period. Recall that in October, we announced 900 off-net ports sold so far. The investments we're making in building a programmable network are driving significant growth in high-value digital revenues. We believe will ultimately drive higher return for Lumen investors. We'll share more on this and Project Berkeley at Investor Day. Finally, let's talk about the progress we're making since launching the LumenConnect ecosystem six months ago. The team is fully staffed and building a commercial flywheel to marry AI-ready Lumen-validated designs with partner cloud solutions enhancing joint value props and accelerating our collective time to value for customers. Not only do these partnerships give us greater commercial reach, they give us a seat at the table where business decisions are being made. Instead of networking being purchased by infrastructure procurement teams as an afterthought, our Lumen team is included in the entire life cycle of the sale, elevating awareness of the critical importance of network and differentiating our company in the marketplace. We've signed 16 connected ecosystem partnerships to date, yielding more than 180 potential sales opportunities so far. Recently, we've made a slew of announcements, including at AWS we shared a gated preview for AWS Interconnect to help AI workloads dynamically scale bandwidth while providing high availability and security. At Microsoft Inspire, we announced Lumen Defender, with Microsoft Sentinel. And at MeterUp, we launched our joint network management offering to give customers preferred connectivity solutions and faster time to value. With every connected ecosystem partner, we're working to deliver scenarios and outcomes that transcend legacy telco capabilities. We're uniquely positioned to do this because of our API-driven programmable network and digital services portfolio. All of which enable a new world of customer-obsessed partner-delivered technology solutions. Alright. To wrap it up, it's a new day for this company. Lumen is separating itself from the traditional telecom pack. It's not a story about share take or price protection. In a declining legacy market. This is about taking a once commoditized asset innovating new architectures and capabilities, and commercializing it through a modern business model so that enterprises can focus on using AI to reimagine their workflows and business models during the biggest technology shift in history. It's a strategy that for several quarters has helped us slow overall revenue decline more effectively than our peers, And as our strategic revenues eclipse the size of our declining legacy revenue, it's a strategy that we expect will ultimately deliver new revenue streams that are both margin accretive and require less capital investment ultimately improving overall margins and free cash flow even further. I'll hand it over to Chris to talk more about our financial performance and guidance. Thanks, Kate.
Chris Stansbury: As Kate said, since the debt restructuring in 2024, we set out to achieve four major financial goals. Return free cash flow to growth, fix our capital structure, inflect adjusted EBITDA to growth in 2026, and return to business revenue growth in 2028 and total revenue growth in 2029. In 2025, our team executed numerous transactions and reached key milestones along our path to achieving these goals and Lumen's overall financial transformation. Over the past twelve months, we signed almost $4.5 billion in new PCF deals taking the total amount of signed deals to nearly $13 billion. These deals provide us with cash to strengthen the balance sheet and invest in growth. Cementing our place with the trusted network for AI, and highlighting the value of our assets to customers in a multi-cloud AI world. We reached over $400 million in run rate cost reductions on track for a billion dollars 2027. We launched phase one of our new ERP system, streamlining our accounting processes and reducing long-standing systems complexity. We continue to improve our revenue mix with 52% of North American enterprise revenue now coming from growth products. Up from the mid 40% range in 2024, which supports our confidence in a return to business revenue growth in 2028. We successfully executed seven debt refinancing transactions with a total value of over $11 billion Extending and smoothing our maturity profile while materially reducing our annual interest expense by more than $180 million. Through these transactions, we also simplified our capital structure, We eliminated the second lien layer at level three and reduced the number of debt tranches outstanding by ten. And it's 16 when you include the recent super priority pay down. Almost a 40% reduction. These disciplined actions help to materially improve our financial flexibility and today, our capital structure is no longer a headwind It's a position of strength. And finally, yesterday, we announced the close of our fiber to the home business to AT&T for $5.75 billion. The net proceeds and cash on hand were used to pay down the full $4.8 billion of super priority bonds, which reduces annual cash interest expense by an additional $300 million. In total, annual interest expense has been reduced by nearly half $1 billion in the last twelve months. Wanna give a little more detail on the debt transactions, because we're particularly proud of what we've accomplished. At levels no one outside of Lumen. Investors, analysts, advisers, and the broader media thought was possible over such a short period of time. We have that confidence in ourselves, and we have delivered. After the AT&T close, we now have under $13 billion in debt. More than $5 billion retired since 01/01/2025. These actions have reduced our overall leverage to 3.8 times trailing twelve months adjusted EBITDA, and we're not done. There are just additional steps that we can and will take to improve and simplify our balance sheet and overall capital structure. We'll share more details at our Investor Day on February 25. Our team's hard work has delivered impressive results and created opportunities for Lumen's future through a transformed financial profile. This is what playing the win looks like. Now turning to results, fourth quarter revenue and adjusted EBITDA were in line with our expectations and updated 2025 guidance. As we've mentioned at recent investor conferences, this quarter, we also introduced a new reporting view, strategic and legacy. To better reflect how we run the business. Increases transparency by separating the growth engines we're investing in the legacy revenues we're actively managing for cash and simplification. Lumen's transition from grow, nurture, and harvest to strategic and revenue segmentation reflects our commitment to driving sustainable growth by focusing investment and innovation on our most scalable future-oriented businesses. Simplifying our financial reporting and aligning with our enterprise-first strategy, we're better positioned to accelerate margin expansion and deliver long-term value. Now let's move to the discussion of financial results for the fourth quarter and full year. Total reported revenue declined 8.7% to $3.041 billion Business segment revenue declined 8.8% to $2.425 billion which includes over three fifty basis points of anticipated downward impact from one-time dark fiber and elevated public sector harvest revenue growth in 2024. Mass market segment revenue declined 7.9% to $616 million Adjusted EBITDA was $767 million with a 25.2% margin percent margin, and free cash flow was negative $765 million. Total business grow revenue was roughly flat year over year in the quarter, as expected and previously communicated impacted by those one-time revenue items in 2024. For the fourth quarter and full year 2025, we recognized revenue of roughly 41 million and $116 million respectively associated with the nearly $13 billion in PCF deals we've announced today. These prefunded deals have both strategic and financial impacts for Lumen. Allowing us to expand our capacity and build alongside the largest technology companies while also providing capital to fully fund our business plan. Will provide a longer view of the pre of the PCF business at our investor day. Within North American enterprise channels, excluding wholesale, international, and other, revenue declined approximately 8.9%. North America enterprise revenue increased slightly driven by continued strength in IP. We saw expected and typical declines in nurture and harvest, and overall, including wholesale, North American business revenue declined 8.6%. Wholesale revenue declined approximately 7.8% year over year, in line with our expectations. And international and other revenue declined 16.3% or $15 million driven primarily by managed services, VPN, and voice declines. Now turning to adjusted EBITDA. For 2025, adjusted EBITDA excluding special was $767 million compared to approximately $1.052 billion in the year-ago quarter. Year-over-year declines were largely impacted by expected revenue trends, including those one-time revenue items in '24. Increased healthcare cost, as well as increasing cloud migration cost that we've talked about in previous quarters. Special items impacting adjusted EBITDA totaled $280 million This includes severance, transaction and separation costs and our modernization and simplification initiatives. Lastly, capital expenditures were approximately $1.6 billion in the quarter as we expected and in line with our full-year guidance. Free cash flow, excluding special items, was negative $765 million As we discussed previously, fourth quarter free cash flow was negatively impacted by a delay in a $400 million tax refund, which we now expect to receive in 2026. Now moving on to our financial outlook for the full year 2026. Which includes the impact of yesterday's February 2 close of the AT&T transaction, we estimate adjusted EBITDA to be in the range of $3.1 billion to $3.3 billion We expect adjusted EBITDA to inflect a growth in 2026. Our adjusted EBITDA guidance includes organic business revenue declines roughly 75 basis points better than 2025 as we continue to focus investment on our growth products and manage our legacy portfolio for cash. Excluding from the guidance excluded from the guidance above, is roughly $400 million in transformation costs to associated with the multiyear goal of reducing expenses by a billion dollars by year-end 2027. As Kate mentioned, for year-end 2026, we now target a $700 million run rate associated with our modernization and simplification program. Moving to capital spending and our other outlook metrics, For the full year 2026, we expect total capital expenditures in the range of $3.2 billion to $3.4 billion The majority of the reduction in CapEx from 2025 to 2026 associated with the sale of our fiber to the home business to AT&T. As a reminder, CapEx spent on the assets held for sale from January 1 until close was reimbursed at close. Estimate the CapEx associated with the nearly $13 billion in PCF deals be approximately $1 billion The majority of the remaining CapEx is associated with our core enterprise business. We expect to generate free cash flow in the range of $1.2 billion to $1.4 billion for the full year 2026. Additionally, we estimate net cash interest expense to be $650 million to $750 million a reduction of over $550 million at the midpoint versus 2025. Taxes are expected to be a cash inflow of 350 to $450 million in 2026 inclusive of the aforementioned tax refund but exclusive of divestiture taxes. In terms of other special items for 2026, we continue to expect dedicated cost support transaction services for the divestitures. The reimbursement for these services will be another income with no material net impact to our cash Additionally, special items include costs associated with Lumen's $1 billion in project takeout. By the year-end of 2027. We continue our journey in disrupting enterprise networking, we'll also evolve how we guide, measure, and report our performance. Especially around PCF impacts to our financials because it's a meaningful contributor but not the whole story. Well, the growth in the PCF revenue certainly helps, it does not fully reflect the improvements you'll see in our core enterprise business over the next several quarters. We'll share more specific details at our upcoming Investor Day. Now at the beginning of my remarks, I laid out four goals we set for ourselves twenty-four months ago. We've already successfully achieved the first two. Free cash flow growth and fixing the capital structure. And expect to deliver the third adjusted EBITDA inflection in 2026, and remain on track to the fourth returning business revenue to growth in 2028. We've achieved the goals we've communicated to investors over the past year and we continue to see multiple paths to reaching business revenue growth inflection in 2028. We will continue to provide investors with adoption metrics and other proof points along the way to increase confidence in our ability to reach that goal. We're pleased with our performance in 2025 as we made great strides across all three layers of the business, physical, digital, and ecosystem. And the early results for our digital growth engine are encouraging. Over the next few years, our cost structure optimization and increasing digital revenue are expected to help improve margins and free cash flow, reduce our capital intensity, further lower our leverage and borrowing costs, and continue to increase our financial flexibility to invest in Lumen's growth. The future is bright. We look forward to providing you with more details on our long-range plan in a few weeks. And with that, I'll hand it back to Kate before we move to Q and A.
Kate Johnson: Thanks, Chris. Before we open it up for questions, just wanna say how proud we are of all the luminaries who continue to execute our strategy to build the world's trusted network for AI. Whether you're doing a PCF deal driving NAS adoption, helping us do a major strategic divestiture, It takes every single function operating as one team from HR to operations to product, IT, and engineering to marketing and sales and to finance and legal. All of you matter deeply. And it's because of your work that Lumen's future is so very bright. Moderator, we'll open it up for questions now.
Operator: Thank you. We will now begin the question and answer session. Please limit yourself to one question and one follow-up. If you would like to ask a question, please press 1 on your telephone keypad. To withdraw your question, press star 1 again. Please pick up your handset when asking a question. If you are muted locally, please remember to unmute your device. Please stand by while we compile the Q and A roster. Your first question comes from the line of Michael Rollins with Citi. Your line is open. Please proceed with your question.
Michael Rollins: Thanks, and good afternoon. Wanted to focus on the PCF deals announced today. So with the $2.5 billion in this tranche, can you share with us how that business may be similar or different to the first $1 billion that you announced especially with respect to margins and returns? And then secondly, can you just help frame the timing of CapEx investments and cash receipts just given now the quantum of these deals maybe relative to the CapEx that you spent over the last couple of years, and it seemed like there's more to go. So just curious if you could frame how that's going to pace out over the next few years.
Chris Stansbury: Yes. Thanks, Mike. So the recent deals, the 2.5 billion, or so the structure is really the same as what we've experienced today because we're doing these deals on existing network conduit, so they don't have new routes. So the economic profile is very similar. You know, on your follow-up question, we will get into that detail at investor day. We're gonna give you visibility into the PCF versus non-PCF impact on cash flow. I think the thing that I would definitely share with everyone today, though, is if you think about our capital intensity, I'm gonna speak in rough numbers because it's easier. Know, $4 billion in CapEx last year, a billion of that went away. With the sale of a consumer business without much of a loss in EBITDA. So in effect, we've reduced our capital intensity by almost 25% right there. As I mentioned in my prepared remarks, a billion of the three or so that we're guiding for this year relates to PCF. And remember, those deals are prefunded because of the quantum of those dollars. So when you get to the underlying capital intensity, outside of PCF, we're at about a $2 billion business. And so as PCF builds will eventually go away, again, we're prefunding all of those. We're really looking at a CapEx intensity profile. It's roughly half of where we were last year. So you know, that combined with the margin improvements really do drive ROIC improvement for investors.
Jim Breen: Next question, please.
Operator: Your next question comes from Sebastiano Petti with JPMorgan. Your line is open. Please proceed with your question.
Sebastiano Petti: Hi. Good evening, and thanks for the Just wanted to quickly I mean, follow-up on the, I guess, guidance for 2028 business revenue. Growth. I mean, with and I think last quarter, you kind of talked about I think NAS was supposed to contribute you know, 4 to $500 million in 2028, and then PCF about 300 to 400 million correct me if I'm wrong, more or less in that quantum. Or 4 to 500 rather on the PCF, 3 to 400 on the on the digital. So 5 to 600 on digital. And why is there not upside to that numbers given what you guys have talked about today? Right? PCF I guess, 25, 35% larger than what we talked about exiting the third quarter call. And the NAS and digital adoption seems to be accelerating. And so any kind of color, you know, Chris, or Kate, you could provide on maybe the shaping of revenue and maybe there's upside relative last quarter's expectations. Thank you.
Kate Johnson: Yeah. Thanks, Soshan. I'll let Chris handle the financial side of it. I just me talk about the structural side of change in the industry. So any sort of change to critical infrastructure takes a long time. And what we're doing, just like the world of technology did in the, you know, transformation in the cloud era. A decade or two ago. It's the same kind of thing. Everything changes. The product changes. The way you deploy it changes. The way you buy it changes, the way you service it is gonna change. And we're being, I think, pretty conservative in the way that we think about not just our ability to deliver everything, but the market's ability to absorb that change We see the catalyst of AI in cloud 2.0 you know, driving a clear and pressing need for that change. But, you know, we're being cautiously optimistic you know, and making sure that, that we're doing everything we need to do to prepare and provide change management for our customers as well. Chris, if you I don't know if you wanna give any financial guidance on top of that. Yeah. So
Chris Stansbury: know, Sebastiano, you're certainly right that the additional $2.5 billion of deals does help. But keep in mind, we're in 2026. It's gonna take three years for those for those routes to get built at scale. So where will there be some revenue impacts know, in 2028, yeah, I would expect it. Does that impact maybe pull and pull forward in the year when we inflect the growth? Yeah. That's possible. I think the more important thing as we as we move to investor day, we will, again, give you those the PCF map there. But it's really on the digital side to your point with and NAS is obviously a big piece of that. But the other leading metrics that Kate talked about. Right? That's not the number of circuits and the number of ports and the number of customers, but the number of services and the fact that we now have the ability to have a significant off-net presence is really the opportunity we have to drive that digital adoption. And I will be very candid with you and give you a spoiler alert for Investor Day. We're humans. We're projecting kind of linear growth in digital. The reality is we all know that at some point that the j curve but we're not gonna try to predict where that j curve comes into play. So, you know, I think what we're what we're showing is a middle of the fairway estimate with the possibility for us to overachieve. But time will tell. Great. Thank you.
Jim Breen: Next question, please.
Operator: Your next question comes from the line of Batya Levi with UBS. Your line is open. Please proceed with your question.
Batya Levi: Great. Thank you. Can you provide a bit more color on bridging to 26 EBITDA? It's think you mentioned fiber sold was contributing about 300 million of EBITDA. You exited the year with higher cost savings than planned, but it also looks like SG and A ramped up higher as you exited the year. So how should we think about these cost items in totality as we go through 2026, maybe pacing of the EBITDA could be helpful as well. And I'm not sure if you mentioned this, but did you quantify the PCF sale contribution for '26? Thank you.
Chris Stansbury: Not yet. No. We'll give you some more visibility to that at investor day because we'll talk about how PCF is impacting revenue by year and free cash flow. To your question, we are going to be releasing an 8-K tomorrow with the pro forma economics that'll get specifically to your question, Batya. So I don't wanna get into the details, but when you take out the EBITDA from the 25 base year, you take out a little bit of EBITDA that we would have generated in the first month of this year, and then you compare what's left, that's where you see, the growth.
Batya Levi: Okay. And, the other cost items, how much should we think in terms of what's embedded in there for maybe higher SG and A as you exit the as you exit the year, and then maybe the modernization that you've been incurring. Is that all done, or do you anticipate more?
Chris Stansbury: Yeah. So the modernization is largely in special items. So we tried to separate that out. Terms of its impact. We have, you know, projected in kind of the run rate that we're seeing on things like medical costs into the year. But the reality is, as Kate mentioned, you know, we exited with our MNS savings at $400 million in '25. We're projecting $700 million in '26. So that's gonna mute a lot of that. And, again, we'll share five years of financials at investor day. I do wanna again, I wanna share one other thing that we've shared with investors. And I think it's really important What that five-year model is gonna show is that we are fully funded. We are not required to borrow money to fund our future anymore. We have excess cash over the five years, and we'll get into specifics on that. And our objective is to, one, fully fund our growth initiative and our and our the transition of the company. And that is fully funded in that mod. You know, the second thing would be to continue to reduce leverage a little bit And after that, if there's nothing that achieves those first two objectives, then we'll look to start buying back stock.
Batya Levi: Okay. Thank you.
Kate Johnson: Next question.
Operator: Your next question comes from the line of Frank Louthan with Raymond James and Associates. Please proceed with your question.
Frank Louthan: Thank you. So on the slide where you list the about of fiber that you that you have that you're building out. How much of that fiber are you retaining for your own purposes versus what you're building for the customers?
Kate Johnson: Yeah. I mean, not I'm not exactly sure of the question. So we break it down into all the various consumers of it. We've got the hyperscalers connecting their data centers. That's the supply side. We've got enterprise utilization. That's the demand side of our role in the AI economy. And then we have available capacity for growth on the bottom line. And I think what's really interesting is in 2031, when we'll have 58 million miles of fiber installed in the ground, we will have more available for growth than when we started this journey in 2022.
Frank Louthan: Okay. Thank you.
Chris Stansbury: Next question.
Operator: Our next question comes from the line of Gregory Williams with TD Cowen. Your line is open. Please proceed with your question.
Gregory Williams: Great. Thanks for taking my questions. Just on PCF, since you announced all those deals back in August 2024, Have you completed any of those projects? I know you said it takes, you know, up to three years on these things. I'm getting at is is is there any more are there any amortized PCF revenue running through the business at this point? How much? Or is it still too early in seeing that revenue? Question is just on the NAST metrics on Slide nine and alluding to the earlier network as a service or digital revenue question. So are you basically trying to say that you're conservative on your estimates for 2028 inflection and that the metrics I see on slide nine, the new customers, new ports, you're pacing ahead of that or you're pacing, you know, in line with the sort of 5 to 600 million in digital revenue? Thanks.
Kate Johnson: Okay. So I'll take the first piece. So when I was talking about conservatism and structural change, I just want to be super clear. The pipes that are in the ground today that are running mission-critical applications for businesses, businesses are gonna be very cautious in how they approach changing that infrastructure. And we think the buying patterns in NAS represent exactly what this looks like They buy a port, they test it. They buy a second port, and they run an against it. When they have success, they start to buy three, four, and five ports to run more of their locations. It's a standard land and expand model, and it's still pretty early to draw the curves to figure out exactly what's gonna happen, but we're confident in the numbers we've given to the street with an over and an under. On that. And we've given you a range because it's very hard to predict the exact revenue outcomes for a massive change in industry. And that's what we've you know, are basically presenting. Regarding the PCF infrastructure sales, the ranges we've given you there are tied to whenever we finish construction, we light it up and we start to recognize the revenue. And the $13 billion the bills go all the way out through 2031. And the ranges that we gave you for exiting '28 are not inclusive of what we just sold in Q4 because those bills won't be completed until after 2028. Chris?
Chris Stansbury: Yeah. And just a few more details. So in my prepared remarks, I said that in all of last year, we had a $161 million of revenue recognized. Six. Sorry. A 116. Thank you. And 41 of that was delivered in the fourth quarter. So you can see it's starting to scale and ramp now. But we are either on or ahead of delivery schedule at this point with all of our customers.
Gregory Williams: Super helpful. Thank you. Next question.
Operator: Your next question comes from the line of Michael Ng with Goldman Sachs. Your line is open. Please proceed with your question.
Michael Ng: Hey, good afternoon. I wanted to ask about the new segment reporting between strategic and legacy. You know, I think strategic is made up of a portion of grow and nurture Could you just talk a little bit about what's in strategic what part of grow didn't make it in? I would assume it's like VoIP, but would love to hear a little bit more about that. And then So
Chris Stansbury: Yep. What what are your assumptions in terms of, like, the the strategic revenue growth and the legacy revenue declines as we inflect to business revenue growth in 2020 Thank you, Chris.
Chris Stansbury: Yeah. Yeah. No problem. So the shift, what we did is take the grow items that didn't cut. And, again, grow really relates to the most modern forms of connectivity, everything from Verdish you know, delivered in a traditional manner to deliver digitally. But what we took out were specific product lines that are in decline. So when you think about lower capacity connectivity versus higher capacity connectivity, there are parts of those businesses that are in decline. And in effect, those are legacy businesses And and and by the way, this is something that is very rules-based internally, and as we go forward because of product life cycle, you'll continue to see us move products through that life cycle. That we're giving you a very clear view. The items that moved out of nurture and into strategic were really things like Ethernet on demand. Right? VPN on demand. Those are digitally delivered products that are in demand and grow products. Products that our sales team should be selling. Now to the second part of your question, we will continue to see the mix shift in our favor and that strategic bucket grow from the 52% from here forward. And we'll give you a better view of that in a few weeks at investor day.
Jim Breen: Great. Thanks for the talk. This is Chris.
Operator: Okay. Your next question comes from the line of Nick Del Deo with MoffettNathanson. Your line is open. Please proceed with your question.
Nick Del Deo: Hey. Thanks for taking my questions. So you talked about sales being strong interest in PCF seems pretty strong. Can you talk more broadly about what you're seeing with respect to gross sales for the remainder of the business? And maybe share some insights into churn trends? And then second, just to follow-up on Greg's question earlier, thinking about the PCF revenue that you disclosed this year, should we think of that as sort of a ninety-ten non-cash versus cash split akin to the overall mix that you originally described? Or was there a different noncash versus cash mix?
Chris Stansbury: So in terms of the first part, Nick, we saw particular strength in IP this quarter. But, again, there's really across all connectivity solutions there's demand right now. So no surprises there. Churn trends in total have remained fairly consistent with where they have been, which obviously was an improvement you know, in '25 versus '24. But one thing we are seeing and and we don't have numbers to disclose, But on our NAS offering, the churn rates are dramatically less than what we see on traditional sales. It's a much stickier sale.
Jim Breen: Nick, what was the second part of your question?
Nick Del Deo: Oh, so the the the PCF revenue that you disclosed, the 41 and the million in quarter and the 1 and 16 million for the year, should we think that as being like 90% noncash, 10% cash? Or is there a different mix because you're kind of early in the in the process?
Chris Stansbury: I think that's reasonable just to assume as we go forward. Because, again, 90 to your point, you know, our guidance has been that 90% of the cash is received upfront for the bills, and then and then 10% as we as we light that fiber. We don't recognize the revenue until we until we light the fiber. So I think that's a good assumption. And, again, we will give you the five-year outlook for the impact to revenue from those deals in a few weeks.
Nick Del Deo: Okay.
Kate Johnson: Great. Thanks, Chris. Next question.
Operator: Your next question comes from the line of Michael Funk with Bank of America. Your line is open. Please proceed with your question.
Michael Funk: Great. Yeah. Thank you for taking the questions. So for first one, lot lot of reports of construction delayed for you specifically data center build. So know, what what are you doing specifically to, to avoid construction delays just to understand better, in in the contract that you have with with customers, and revenue recognition, for the TCF, they able to delay acceptance for delivery? Or once finished, you light it up as to recognizing revenue at that point.
Kate Johnson: Couple things. First, what are we doing to deliver on time? We have scale. And scale across many different elements that really matter. So scale across the supply chain. So our contracts are very favorable and terms of first off the line priority status We have scale in terms of workforce. So, you know, if you if you wanna join a construction team that's gonna be at this for several years, you wanna join one of our partners because they're building the largest expansion of the Internet at large for Lumen. And so our scale really, really matters here and gives us the accessibility to all the things that we need to ensure that there are no constraints put on, you know, on our our ability to execute on time. Regarding demand and, you know, pressing pause, the general feeling in the market is how fast can you go? And it's widely recognized that we can go fast because we're oftentimes already there. And the, you know, amount of work that we have to do is about overbuilding and not building, for the first time. I will tell you, I can't I can't reveal any names here. But we did a large deal with with a company, a cloud company, and it was the first time that we'd done work with this company. And went so fast that we got a call from the head of operations that said, I we've never experienced this kind of speed before. With the telco. You know, can can we meet more regularly so that we can your true capacity and ability to go at this pace? Because we're not we weren't quite ready for it. So that was one of the more fun phone calls I've ever gotten. I'm gonna be very honest with you. And then Chris, did you wanna add something? Yeah. I'd say a couple other things. On the on the first part of the construction, again, we've got a very special relationship with Corning. And and we we are doing very well in terms of access to fiber. I think the other the other point though, and I'm I'm gonna kinda go with the nuance of your question, which is can they hit pause because of concerns over a bubble? I can say consistently, and and in terms of our engagements with those customers, and you can hear it in the market. Hyperscalers are not talking about a bubble. They are talking about they don't have enough fast enough And I I would also tell you that many of our contracts have performance bonuses in them for us to go faster. So that's the reality that we live with every day and we're delivering against it.
Kate Johnson: Yeah. And I think one of one of the the final things I'll mention is that the reason why we're able to execute as as swiftly as we are the same reason why we get chosen, and that's because a lot of the deals that we're doing are are two existing data center areas where our network has proximity.
Michael Funk: Great. Thank you all.
Operator: Your last question comes from the line of Sam McHugh with BNP. Your line is open. Please proceed with your question.
Sam McHugh: I have a couple of follow-ups for you, Chris. If you don't mind. The first one was on the EBITDA guide. I think you mentioned about the growth in '26, the $3.5 billion prior guide. I just wanted to clarify the range of 3.1 billion to 3.3 we saying it's still growth versus 25 throughout the whole range? Or at the midpoint in the range. And then the second was and and I'll try, but
Chris Stansbury: Go.
Sam McHugh: You go first. Yeah. Yeah. So that that just to to answer that. So the three and a half was when we still had the consumer business in there. And I think the estimate for for 2026 at that time was about 300 million in EBITDA. Adjusted EBITDA. So that's broad numbers. That's that's really what's driving us there. As it relates to inflection, we're saying inflection on the year. It's not gonna be in every quarter. And, again, when you see the pro forma math in the 8-K tomorrow, that that will help with that. But, sorry, you had a follow-up.
Sam McHugh: No. At the end, the follow-up was one on on PCS, and I I guess maybe I won't get an answer, until the CND, but rough math would suggest like, working capital and PCS cash inflows around 1.7 billion or something based on the guide. I can my miles off with that, and is there any reason why working capital could be massively positive or negative?
Chris Stansbury: Yeah. I mean, working capital will definitely be positive. I that's obviously the we're we're those PCF inflows and outflows or inflows show on the on the balance sheet, and then the outflows obviously show up in in CapEx. So again, as we've said to the market, at some point, when PCS stops, we'll have trailing CapEx that we've already received the cash for. But with 2.5 billion coming in and and, you know, more demand in the pipeline, that's just not something that we're encountering right now. And that that obviously increased our guide for next year. And I think that's why people are seeing that we're higher than consensus on that estimate.
Sam McHugh: Cool. Well, thank you very much.
Operator: There are no further questions at this time. I'll now pass it back to Kate Johnson, CEO, for closing remarks.
Kate Johnson: Thanks, moderator, and thanks, everybody, for engaging in today's call. We look forward to speaking with you more about the future of Lumen at our Investor Day in just a few weeks. Have a great night.
Operator: That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line. Have a great day, everyone.